Operator: Good morning and welcome to Monmouth Real Estate Investment Corporation's Third Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. It is now my pleasure to introduce your host, Ms. Susan Jordan, Vice President of Investor Relations. Thank you. Ms. Jordan, you may begin.
Susan Jordan: Thank you very much, operator. In addition to the 10-Q that we filed with the SEC yesterday, we have filed an unaudited quarterly supplemental information presentation. This supplemental information presentation along with the 10-Q are available on the Company's website at mreic.reit. I would like to remind everyone that certain statements made during this the conference call, which are not historical facts, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The forward-looking statements that we make on this call are based on our current expectations and involve various risks and uncertainties. Although the Company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the Company can provide no assurance that its expectations will be achieved. The risks and uncertainties that could cause actual results to differ materially from expectations are detailed in the Company's third quarter 2017 earnings release and filings with the Securities and Exchange Commission. The Company disclaims any obligation to update its forward-looking statements. Having said that, I would like to introduce management with us today, Eugene Landy, Chairman; Kevin Miller, Chief Financial Officer; Richard Molke, Vice President of Asset Management; and Michael Landy, President and Chief Executive Officer. It is now my pleasure to turn the call over to Monmouth's President and Chief Executive Officer, Michael Landy.
Michael Landy: Thanks, Susan. Good morning everyone. Thank you for joining us. Monmouth's had a very productive third quarter in the midst of a very productive year. During the quarter, we acquired five brand new Class A built-to-suit facilities. These acquisitions contain a total of 1.4 million square feet at an aggregate cost of $152 million. Three of these acquisitions are leased to FedEx Ground and the remaining two are leased to Bunzl Distribution and Autoneum. The lease terms range from 7 to 15 years with the weighted average lease term of 14.4 years. From the run rate standpoint, we expect these five properties to generate a combined total of approximately $10 million in annual rent. We've financed all five of these properties with the total of $99.9 million in mortgage financing at an average of interest rate of 3.78% and an average debt maturity of 14.8 years. Because four of the five acquisitions did not close until the last week of the quarter, their favorable impact on our earnings was not a factor during the recent quarter but will be very apparent going forward. Subsequent to quarter end, we acquired a brand new 354,000 square foot Class A facility for 40.6 million, lease for 15 years to FedEx Ground in the Charlotte MSA. This property is situated on 57 acres in Concord, North Carolina which is suburb of Charlotte and is adjacent to our FedEx SmartPost facility. As a result of this new acquisition, we now own two property 116 acre campus in the Charlotte market situated alongside Interstate 85. We continue to be very excited about our best-in-class acquisition pipeline which now contains four properties consisting of 1 million square feet, representing an aggregate cost of $88.7 million. We anticipate closing these four transactions during the remainder of fiscal 2017 and first half of fiscal 2018. In keeping with our business model, these future acquisitions comprise brand new, well located built-to-suite properties currently under construction. These properties contain long-term net leases with a weighted average lease maturity of 10.6 years. In addition, two of the four pipeline acquisitions will be leased to investment grade tenants. These properties are situated near major airports, major transportation hubs and manufacturing plants that are integral to our tenants operations. The weighted average cap rate on these future transactions is 6.9%. Subject to satisfactory due diligence, we anticipate closing these transactions upon completion and occupancy. Our portfolio occupancy increased 20 basis points from 99.6% in the prior year period to a sector leading 99.8% at quarter-end. Our growth feasible areas at quarter-end comprised 17.9 million square feet consisting of 105 properties, geographically diversified from coast-to-coast across 30 states. Our weighted average building age is 9.4 years providing Monmouth with one of the youngest and most state-of-the-art portfolios in the industrial REIT sector. Through the first three quarters, we’ve generated 12% portfolio growth by acquiring seven industrial properties totaling approximately 1.9 million square feet at an aggregate cost of $208.1 million. The significant portfolio growth our company has enjoyed has been and will continue to be achieved without sacrificing our high standards. Our portfolio was built one high quality acquisition at a time and that discipline will remain a hallmark of our business philosophy going forward. With regards to leasing activity, in fiscal 2017 approximately 9% of the Company’s gross leasable area consisting of 13 leases totaling 1.5 million square feet was scheduled to expire. I am pleased to report that thus far 10 of the 13 leases have been renewed. Nine of the 10 leases that have renewed thus far represent approximately 1.3 million square feet or 83% of the expiring square footage. These renewed leases contain an average GAAP lease rate of $5.61 per square foot and a cash lease rate of $5.49 per square feet. This represents a 1.2% decrease on a GAAP basis and a 4.4% decrease on a cash basis. While the weighted average leasing spreads achieved on these nine leases renewed thus far in fiscal 2017 are slightly negative on a GAAP basis given our strong tenant base we are very pleased with achieving weighted average lease to maturity of 6.5 years. One out of the 10 renewed leases were 87,500 square feet building leased the FedEx in Fort Myers, Florida renewed for only eight months because they have move their operations to our newly constructed 214,000 square foot building at the South West Florida international airport. Of the three remaining leases that are set to expire, we leased up our one non-renewal which our 36,000 square foot property in the Urbandale, Iowa. The new lease is with FBM Gypsum Supply of Illinois and it's for 10.2 years at an annualized rent of approximately $172,000, representing a 33% increase over the prior lease rents. This new lease will commence in November. The remaining two leases that are set to expire during fiscal 2017 are expected to be renewed. The continuing theme here has been to capitalize on this protracted period of historically low interest rates by extending our debt maturities out as far as possible and by reducing our cost to capital throughout our capital structure. During the quarter, we finished successfully replacing all $111 million of our high dividend Series A and Series B preferred stock, which had a weighted average coupon of 7% and 3% quarter with our 6% and 1% serious fee for perpetual preferred stock. This will result in approximately 1.76 million in annual preferred dividend savings going forward. During the quarter, we also entered into an aftermarket preferred equity program in which we may sell up to 100 million with our 6% and 1% Series C preferred stock. We began selling preferred shares through the ATM preferred stock program only July 3, 2017. Thus far, we raised approximately $15.6 million at a weighted average yield of 6%. Real estate is a long-term asset class and therefore we believe in funding our investments with long-term capital. We believe using a combination of permanent low cost preferred and long-term debt best positions the Company going forward. With regards to the overall U.S. industrial market, the secular shift to e-commerce coupled with high consumer confidence and record low on employment continue to be strong demand drivers. The ISM Manufacturers Index has been an expansionary territory for 11 consecutive months. Net absorption for our property types has now been positive for a record 29 consecutive quarters with just under 60 million square feet of positive net absorption in the recent quarter. Net absorption is expected to eclipse 224 million square feet for the fourth year in a row. This is close to national industrial vacancy rate to tighten further to 5.3% current rate. This strong demand is driving average asking rents 4.6% higher from the prior year period representing $5.62 per square foot currently. New construction is under rise with approximately 240 million square feet and new construction currently taking place. Approximately 70% of the 107 million square feet in delivered space so far this year has been specs phased fueled by widespread, preleasing success which has been averaging our 50% due to continued strong demand for modern industrial space. Reaffirming the continued shift taking place in consumer spending, yesterday's Wall Street Journal had an article featuring our new FedEx Ground distribution center in Mesquite, Texas. As the article state, this industrial property was built on the site that was once one of the largest shopping malls in Texas. The digital economy is reshaping the world of real-estate in profound ways. Today, Monmouth is clearly benefitting from having anticipated these changes well in advance of their occurrence. And now, Kevin will provide you with greater detail on our results for the third quarter of fiscal 2017.
Kevin Miller: Thank you, Michael. Core funds from operations for the third quarter of fiscal 2017 were $15.4 million, or $0.21 per diluted share. This compares to core FFO for the same period one year ago of $12.8 million or $0.19 per diluted share, representing an increase of 11%. Adjusted funds from operations or AFFO which excludes securities gains and losses were $0.19 per diluted share for the recent quarter, which is unchanged from the prior year period. Our AFFO per diluted share increased 6% sequentially. As Michael mentioned, because four of the five recent property acquisitions do not close until the very end of the quarter most of the favorable impact from the substantial recent acquisition activity would not be evident until our fourth quarter results. Rental and reimbursement revenues for the quarter were $28.6 million compared to $24.1 million, or an increase of 19% from the prior year. Net operating income increased $3.5 million to $24 million for the quarter, reflecting a 17% increase from the comparable period a year ago. This increase was due to the additional income related to the eight properties purchased during fiscal 2016 and the seven properties purchased during the first three quarters of fiscal 2017. Net income excluding the depreciation was $19 million for the third quarter compared to $14.3 million in the prior year period, representing an increase of 33%. Again this improvement was driven largely by the substantial acquisition activity that has occurred over the past year. With respect to our properties as Michael mentioned, end of period occupancy increased 20 basis points from 99.6%, in the prior year period, to 99.8% at quarter end. Our weighted average lease maturity, as of the quarter end, was 7.8 years as compared to 7.1 years at the end of the prior year period, representing a 10% increase. Our weighted average rent per square foot increased 4% to $5.91 as of the quarter end as compared to $5.66 a year ago. With regards to our same property metrics for the current nine-month period, our same property occupancy decreased 30 basis points from 100% to 99.7%, and our same property NOI increased 0.4% on a GAAP basis and 1.6% on a cash basis. Our acquisition pipeline now contains 1 million square feet representing $88.7 million comprised the four total acquisitions schedule to close over the next several quarters. To take advantage of today's attractive interest rate environment, we have already locked-in very favorable financing for three of the four acquisitions. The combined financing terms for these three acquisitions consist of $38.3 million in proceeds representing 65% of total cost, with the weighted average interest rate of 4.3%. Each of the three financings are 15 years self amortizing loans. These three acquisitions will result in a weighted average leverage return on equity of over 14%. Thus far during fiscal 2017, we fully repaid 15 mortgage loans totaling approximately $35.3 million with fixed interest rates ranging from 5.25% to 7.38% associated with 14 of our properties. These newly unencumbered properties generate over $10 million in net operating income annually. As of the end of the quarter, our capital structure consisted of approximately 677 million in debt of which $555 million were property level fixed rate mortgage debt and $122 million were loans payable. 82% of our total debt is fixed rate with the weighted average interest rate of 4.2% as compared to 4.6% in the prior year period. We also had a total of $210 million in perpetual preferred equity at quarter-end. Combined with an equity market capitalization of approximately $1.1 billion, our total market capitalization was approximately $2 billion at quarter-end. From a credit standpoint, we continue to be conservatively capitalized with our net debt to total market capitalization at 33% and our net debt plus preferred equity to total market capitalization at 44% at quarter-end. In addition, our net debt less securities to total market capitalization was 28% and our net debt less securities plus preferred equity to total market capitalization was 39% at quarter-end. For the three months ended June 30, 2017 our fixed charge coverage was 2.4 times and our net debt to EBITDA was 6.9 times. The ratio of our net debt less our REIT securities portfolio to EBITDA was 5.8 times. We view the increase in these ratios as temporary as we recently incurred much of this debt to fund acquisitions towards the end of the quarter whereas the run rate EBITDA from such recent acquisitions will be fully reflected in our next quarter. From a liquidity standpoint, we ended the quarter with $11.7 million in cash and cash equivalents. In addition, we had $100.5 million in marketable REIT securities with $8.8 million in unrealized gains in addition to the $2.3 million in gains realized over the nine month period. The $2.3 million in net realized gains in fiscal 2017 to-date includes a $1.5 million in gains that were realized during the recent quarter. At quarter-end, a $100.5 million REIT securities portfolio represented 6.6% of our un-depreciated assets. Additionally, we had $90 million available from our credit facility as at the end of the quarter as well as an additional $100 million potentially available from the accordion feature. And now, let me turn it back to Michael before we open up the floor for questions.
Michael Landy: Thank you, Kevin. I’m very proud of the productivity and success that has been ongoing at Monmouth. Many of our metrics illustrates the virtuous path upon which we’ve been progressing. Our financial position has now been meaningfully enhanced by the addition in growth of our low coupon perpetual preferred equity outstanding. Our AFFO dividend payout ratio has strengthened considerably and provides a substantial margin of safety as well as future growth potential. Our 50 year history of success could not have been possible without a conservative focus, strong balance sheet and ample sources of liquidity. Due to the positive effort from the talented team here at Monmouth, each of these vital aspects has never been stronger than they are today. We’ll now be happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Rob Stevenson of Janney. Please go ahead.
Rob Stevenson: Given Mike's comments about the dividend, Kevin, where are you guys in terms of minimum payout for REIT status? In other words, how much longer can you keep growing earnings at this pace without being force to increase the dividend?
Kevin Miller: Our current AFFO payout ratio is about 84% and definitely in the past we've had much higher dividend payout ratio and we now finally achieved a dividend payout ratio where we can consider raising the dividend. And off course that's a Board of Directors decision and that certainly something we're going to be discussing in the near future.
Michael Landy: Can I just add something to that? On the spectrum of REIT that payout a minimum of taxable income and if taxable income grows or force to raise their dividend, we're far from that end of the spectrum. Because we have long-term leases to investment-grade credits, we've always paid out a high percentage of our earnings and time a 100% of FFO. And it's a very stable because the income is protected by strong credits and you saw on the financial crisis, our rents continued unabatedly, our earnings and occupancy continued unabatedly and our dividend was unscathed throughout the financial crisis. So, we're on the end of the spectrum, paying out a higher percentage of earnings. We're not a REIT that's going to be forced to raise the dividend because taxable income is growing.
Rob Stevenson: Okay, because I know it's been basically three years since the last dividend increase so, I was just trying to figure out where you were in terms of your numbers? And how the board was going to be thinking about that over the next couple of meeting?
Michael Landy: Very good, so to answer that, let's Kevin mention with the 16% cushion that’s not even including the four acquisitions that we closed at the end. That cushion is only going to increase and so we feel we have a good margin and safety and certainly the potential to raise our dividend, if the Board sees fit.
Rob Stevenson: Okay. And then how much of the million square foot $88 million pipeline is FedEx?
Michael Landy: Only about 12%, is that right Kevin?
Kevin Miller: That’s correct. So, yes, it's just one FedEx deal at the moment out of four.
Rob Stevenson: And then given you conversations in what you guys monitor out of them. How FedEx growth plan looking for the next couple of years, as calendar '18 and '19 looking similar to '15, '16, '17 in terms of their demand for new space or things slowing with them, from there whatever it is 10, 15, 20 projects a year that they have been doing. How would you characterize that these days?
Michael Landy: I would begin by saying. First of all I am not an authorized FedEx spokesperson. They are public company. I encourage you to listen to their quarterly calls and you will get a really good feel for where they are going as far as there growth. Having said that, what's going on with consumer spending moving from main street to cyber space, there is tremendous demand, there is 247 million square feet of industrial construction taking place right now, much of that is e-commerce related, and so these networks need to continue to grow as more and more and market share moves online. I think it's approaching 18% of not counting food, fuel and autos of consumption is moving online and that’s just going to continue. So, we've been expanding buildings, we've been expanding parking lots, we’re doing big new FedEx acquisition, 15 years leases and I anticipate that to continue.
Rob Stevenson: Okay. And then you guys in -- I know that you guys are still working on the couple of 17 leases. When you look at '18, you got about a just under 8% of base rents expiring. Any -- out of those leases, any known non-renewals at this point?
Michael Landy: Yes, there are there is -- I'll turn it over to Rich, who you will give the exact number but before I turn it over to Rich Molke, our Vice President of Asset Management. It's early to talk about '18, but we have soon a really good news thus far seven of the 16, we have either signed leases or signed RFPs and the rents are coming in strong at plus 6% gap increased, and the terms I believe to over seven years of weighted average lease maturity. But as far as non-renewals I think there is a three or four, Rich what's the detail?
Richard Molke: So far, we have three that we now have definitively. Caterpillar is moving out of the Griffin building that we have, but the Atlanta MSAs had real strong net absorption. So we believe we are going to participate in that shortly and hope to give you good news on that in our ensuing quarters. Catalog is moving out of some of our small buildings, two of them through 2018 where entertaining LOIs on both of those. So same story there hopefully we get to report good news. I mean seven quarters.
Michael Landy: Yes, let me just add to that. It's a very tight industrial market in the U.S. and we're 99.8% occupied and the few vacancies we see coming, there is all a good group of potential tenants and potential buyers. So I don’t anticipate much downtime if any and these buildings are highly saleable and those are highly desired by tenants. So I don’t see a while we one of the 100% retention I don’t see a vacancy going much lower than the current 99.8% rate we're enjoying at the moment.
Operator: The next question comes from Craig Kucera of FBR Capital Markets. Please go ahead.
Craig Kucera: You had a pretty healthy pickup in your interest in dividend income this quarter. Was that just due to cash balances before we are deeming the preferred or was there something else in that?
Kevin Miller: No, no interest in dividend income is solely from our securities portfolio. So that's a result of an increase in the size of the portfolio. Quarter-over-quarter, it went from -- year ago, it was 83 million and then it was a 100 million at the end of this quarter. So that's the increase in the size of the portfolio and increase in the weighted average yield of the portfolio.
Craig Kucera: Got it, that's sounds like that's a fairly recurring kind of number.
Kevin Miller: Yes, sir.
Craig Kucera: Okay, with the ATM proceeds that are coming in I think you mentioned you've done about 16 million the first two weeks. Are you finding that demand to be pretty steady and are you anticipating using those proceeds to pay down the line of credit?
Michael Landy: Well, the preferred ATM is a new program for us. We've just had a very successful dividend reinvestment plan for decades with about 20% participation of existing shareholders that we could rely on quarter-after-quarter. But given this unique environment of zero percent and sub zero percent interest rates, we never thought we have a six and then eight coupon without an investment grade rating. It wasn’t that long and though, you needed a highly rated issuer to be at six and then eight. So because we have this ability to issue low coupon perpetual preferred, we want to go out on the yield curve as far as possible, perpetual capital is as far as you could go and we redeem high 7% coupon preferred. Our balance sheet has never been stronger and we will use that capital to fund our pipeline, to fund expansions, to look for opportunistic investments and of course in the short-term pay down out line and pay down debt, we’re already low levered. So it’s really going to be a good adjunct to grow our portfolio going forward. It’s just unusual that you have this sub zero percent interest rate environment. I think we’re going to one day look back and wonder how could it even happen and so we’re trying to take advantage of that and increase our capital structure where there is much low coupon and perpetual preferred as we can. And then your question about demand, there has been net redemptions in the preferred equity arena. People are going to borrow short, it's more accretive to interest rates are low, you could borrow short at a lower rate. So there has been net redemptions of preferred and there is very strong demand. I can’t give you a run rate of how much we will be raising, but we can raise up to 100 million and we hope to achieve that.
Craig Kucera: You know you closed a significant amount of property in the third quarter fiscal and another property here, as we’ve entered into fourth quarter fiscal. I think you generally had a pipeline of about 250 million as you clearly close much of that recently. But are you -- as you survey your merchant builders that you talk to, are you seeing ample opportunities for that to sort of beef backup again? Or are you likely just maybe see, maybe a slower acquisition pace of growth certainly beyond what you have on the contract?
Michael Landy: Well, there is good news and bad news there, Craig. The good news is there is demand for modern industrial space and in the financial crisis the pipeline of new development was completely shut and it slowly ramped up to normal levels of a quarter billion square feet annually and that’s where we are today. And there is demand for more -- the amount of supply does not even come close to equilibrium with demand. So, the good news is we even more modern industrial space. The difficulty is there is too much capital chasing the deals that are out there and you know an acquisition at one price is very opportunistic and another price it’s a mistake and you know interest rates are edging higher and cap rates are edging lower and we’re going to as I said in our prepared remarks continue to grow the Company one high quality acquisition at a time where we have days on deal that I hope to win them, but I am sensing a greater amount of competition and a lot of new entrants into the industrial arena. It’s the favorite property type now and the competition is fierce.
Craig Kucera: Okay. Just on key renewals, I know they average down about 1.3% on a GAAP basis. Were there any outliers that pulled that down? Or was the average just sort of flat to modestly down?
Michael Landy: A couple of things on the renewals, I would talk about. While our peers are generating 5% to 10% year-over-year same store NOI growth and our leasing spreads are slightly negative. We’re consciously looking for term. I mean there was a long-term renewal with Coca-Cola, several 10 year renewals with FedEx and that Coca-Cola was a 10 year renewal as well. And it’s a different model. So we could lock in a 10 year lease with investment credit, that’s a financeable asset that we can borrow sub 4% money for 15 years. So it's not just analysis of our same-store metrics versus their same-store metrics. It's an analysis of the strong credit quality, the underlying probability of correcting that rent, the finance ability of the asset. And so, I think if you look at the ability to expand properties, we've expanded 14 properties over the last three years. These tenants have strong basis and they are growing. So in some REIT, they're managing their occupancy lower, just to push open envelop and see where the tipping point is in leasing space. We're looking to keep our occupancy high, deliver the high quality predictable income streams. So I told you our 2018 number and they are more in line with our peer group up 6% on GAAP basis, but there wasn’t any outlier, it was just our conscious decisions to go for term rather than every nickel we could get and take any tenant we could get.
Operator: The next question comes from John Benda of National Securities Corporation. Please go ahead.
John Benda: Could you talk about some of the trends that you've been seeing since the completion of Panama Canal expansion? I know you spoke about that it could be very positive portfolio. So what if the effects would be -- explicit effects have been from that you've seen?
Michael Landy: We're seeing tremendous effect. It reminds me of way back at the turn of the century, we were saying that industrial was the new retail, all the demand from consumer spending was going to move online, and people are their heads in the sand and said, it's never going to happen. And the retail sector was iron clad. So with the Panama Canal when it was under construction, we were saying all the clerical work is disrupting labor, year after year holding the economy hostage because they had the leverage to do so. The Panama Canal will allow goods to move from Asia to directly to the East Coast ports and it will take that threat and neutralize it. And now we're seeing it, I mean there is 8% shipping container growth on the East Coast versus 4.5% on the West Coast, 70% more of the shipping container growth is coming to the East Coast ports. So, there is just no denying that the Panama Canal has been able to global supply chain to shift in our direction.
John Benda: Okay and then with the FedEx facility in Mesquite, Texas. In your current footprint, are you seeing more and more, kind of more owners looking to sell properties that are being targeted by large industrial space operators? Are you thinking you'll see a lot of more through portfolio?
Michael Landy: Yes, on a national level, industrials and new retail, there are malls that are we predicted that crickets would chirping and as malls with cricket chirping, now I think it’s -- the Armageddon scenario overblown and these retail REITs are very creative and they are creating experiential centers. And they are going to do just fine, but they have their work cut out for them and some of the malls due to all the store closures will find themselves obsolete and a higher and better use could very well be industrial as the Wall Street Journal portrait with our acquisition in the Dallas MSA with the new FedEx distribution center on the base that was once the largest in closed mall in Texas.
Operator: [Operator Instructions] The next question comes from Michael Boulegeris of Boulegeris Investments. Please go ahead.
Michael Boulegeris: Congratulations on your sustained qualitative growth and the more efficient balances sheet that you secured over that past year.
Michael Landy: Thanks Mike.
Michael Boulegeris: In terms of the -- Mike, the pipeline, your discussion, you have a blue chip roaster and great insights, pressured insights you to e-commerce with your FedEx relationship. Mike, just provide some competitive advantage as you compete in this more intensive environment for new acquisitions?
Michael Landy: Well, I think the competitive advantage is being a 50-year-old company, people see that we are not -- although, the capital markets are wide open, we are not one of those guys to just get into a pie eating contest, take all that capital and go buy anything. They see, we were very discriminating, very selective. We transact with a desire to treat all partners, looking for a mutual beneficial outcome. So I think it's really our 50 year history that brings us deals. I know that the FedEx locations are becoming the magnet for other retailers, setup their ecommerce fulfillment centers. So you are seeing people building around our FedEx distribution centers because that's where they need to setup their tents. And so, we are only seeing synergistic type deals, but I think the main thing is just our history the fact that we have a lot of skin in the game and the reputation that we have. Eugene, do you want to answer that? You've been very quite.
Eugene Landy: By profession, I am an attorney and I would tell you it's impossible for attorneys to draft every provision of their agreement that has going to satisfy both sides of the agreement. Some things have to be just understood from an ongoing relationship, if your tenant likes to double the size of the building, there is no way to draft the leave. Findings the landlords to double the size of the building 10 years from now without knowing what the quest will be then, so we basically have good faith provisions in it, and we have done our best to live up to those provisions and the tenants have appreciated. And that gives you a competitive advantage. You don’t want to put 10 million to 20 million of improvements in a building and then five years later find out you need to double the size of the building. And the landlord is not cooperating in doubling the size of the building. So, it's a relationship could be that we continue to do more than what is required by the language of the agreement, and that gives us a really good advantage. And the other advantages when we are bidding on properties and builders, we have done business in the past. They certainly want to have us be the winning bidder because they've had a good relationship with us for 10 to 15 years and that gives us an advantage. So, we are very pleased with the pipeline and very proud of it, and we are really building a one building at a time a great portfolio.
Michael Boulegeris: That's helpful, Eugene, and one of those lines perhaps the timing is somewhat predictable and then maybe have your hands when there are property expansions. But did you or Mike do you have any comments on that possibility in the fiscal year '18?
Michael Landy: Well, I would just say as far as the ratio of land to our buildings we have plenty of full amount of land. So our tenants have strong driving growing businesses and we have the land to accommodate expansion request not on every one of our assets but on many. And I don’t have anything specific, there is a lot of potential things brewing but I won't comment further so we have things in writing.
Michael Boulegeris: Very well. And currently, Michael you or maybe Gene from a historic standpoint, do you sense that from a longer term view that this global QE has benign monetary central bank policies or maybe not like suppressing cap rates or add pressuring down cap rates, but also it seems to match that the going value for NAV of your existing properties. Did you have any thoughts on that?
Michael Landy: Yes, I’ll go first and I know Gene has thoughts as well. You know this negative interest rate environment is not sustainable. It creates tremendous fixed allocations of capital -- dislocations of capital. It’s the mirror image of negative amortization loans and we know how that ended. So the fact that there is trillions of dollars globally where the lender is paying to lend, makes no sense at all. It's not sustainable and you know real estate has benefited and our balance sheet is benefitted tremendously. So -- but we’re certainly fearful for what will happen when they try to unwind this and net interest rates monetize, and we’re keeping a lot of dry powder to take advantage of that opportunity because there is fewer stocks, there is less liquidity in the public markets, the robots have taken over the public market. So there is a potential for a major correct and we certainly want to be prepared and ready to take advantage if something like that should occur. Go ahead Eugene.
Eugene Landy: The basics of real estate, the total return and there has been too much concentration on currently turn or funds from operations. We believe the country will grow 4% to 6%. We are anticipating infiltration of 4 to 5%. And so, when I look ahead 10 or 15 years the value of our company will grow substantially. In that period, then if we go back to just looking at FFO and as Michael pointed out, we anticipate and interest rates will rise and that will have a negative effect on the REIT industry to the extent that it will impact current FFO. But if you weigh both sides of the equation, where the FFO is going to go when you have to deal with the more normal 5% to 7% interest rates and you weigh that against the growth of the economy, the value of our properties, the irreplaceable land. My summation is that our RETI will do well as we have in the past in trying times and in prosperous time. So, we think we have a good business model.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Michael Landy for any closing remarks.
Michael Landy: Well, thank you, Carrie. I’d like to thank everyone for joining us on this call and for their continued support and interest in our company. Thanks to the team at Monmouth for helping to deliver these great results. We are always available for any follow-up questions and we look forward to reporting back to you in late November with our fiscal year-end results. Thank you. Operator The conference has now concluded. Thank you for attending today’s presentation. The teleconference replay will be available in approximately one hour. To access this replay please dial U.S. toll free 877-344-7529 or international toll 1412-317-0088. The conference ID number is 10107965. Thank you and please disconnect your lines.